Operator: Good day, and welcome to the Accelerate Diagnostics 2020 Second Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Laura Pierson. Please go ahead.
Laura Pierson: Before we begin, it is important to share that information presented during this call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. Forward-looking statements include projections statements about our future and those that are not historical facts. All forward-looking statements that are made during this conference call are subject to risks, uncertainties and other factors that could cause our actual results to differ materially. These are discussed in greater detail in our annual report on Form 10-K for the year ended December 31, 2019, and other reports we file with the SEC. It is my pleasure to now introduce the company’s President and CEO, Jack Phillips.
Jack Phillips: Thank you, Laura. Good afternoon, everyone, and welcome to our second quarter 2020 earnings call. On today’s call, we will review our second quarter results, discuss the impacts of the pandemic on the business, along with the progress we’ve made in mitigating financial impact, and finally describe our new product strategy. Before I discuss the second quarter, I wanted to convey that our global Accelerate teams are safe and remaining productive. While cases surge across the U.S., including in Arizona, where most of our employees live and work, the actions we’ve taken to ensure safety and continuity continue to enable the service of our customers and advancement of our business priorities. I would like to express a heartfelt thank you to our entire team for their hard work during this difficult time. In the second quarter, we recorded revenue of $2.1 million, contributing to 22% growth year-to-date. Utilization within our existing base of live Pheno Instruments continue to prove durable during the second quarter. After a dip in April and May, we saw kit ordering patterns rebound to normal run rates in June. While it is difficult to predict whether recent surges in COVID-19 cases will impact our annuity in the upcoming quarters, we are encouraged by the resiliency of our current book of business against the backdrop of an overall diagnostic industry that is down significantly year-to-date. Limited hospital access and competing pandemic-related priorities continue to impact new contracts and go-lives, and few additions were made in these areas during the quarter. However, after months of nearly no sales calls and limited go-live activity, we have seen material increases in these activities in June and July. Despite these external disruptions, our internal R&D and business development teams have made considerable progress over the past several months, and we’re thrilled that their hard work has led to our announcement today that we are adding several new products to our portfolio as part of a new product strategy. Before providing additional details on these exciting new launches and further insights into our operational results for the quarter, I would like to hand it over to Steve to review our second quarter financial results. Steve?
Steve Reichling: Thank you, Jack, and good afternoon, everyone. Net sales were $2.1 million in the second quarter and $4.4 million year-to-date. This compares to $1.8 million and $3.6 million from the same period in 2019. This represents 22% year-to-date growth. Nearly all of year-to-date revenue and year-over-year growth was the result of higher consumable sales, driven by an increase in the number of live customers. Cost of goods sold were $1.2 million in the second quarter and $2.5 million year-to-date, resulting in gross margins of 45% in both periods. This compares to cost of goods sold of $907,000 and $1.8 million or gross margins of 50% and 49%, respectively, from the same period in 2019. The decline in gross margins year-over-year resulted from under-absorbed manufacturing capacity. This was somewhat offset by lower fixed costs per unit derived from higher production volumes. Selling, general and administrative expenses were $11.3 million for the second quarter and $24.3 million year-to-date compared to $12.8 million and $25.6 million from the same period in 2019. This decrease is the result of reductions in sales and marketing-related discretionary spend on expenses such as travel. Research and development costs were $5.3 million for the second quarter and $11.2 million year-to-date compared to $6.1 million and $13.1 million from the same period in 2019. This reduction was a result of increased efficiencies and lower external study spend. Our net loss was $19.2 million for the second quarter and $40.5 million year-to-date, resulting in net losses per share of $0.35 and $0.74, respectively. Net losses for the second quarter and year-to-date included the impact of noncash stock-based compensation expense in the amount of $3.4 million and $7.6 million, respectively. Net cash used was $8.1 million for the quarter. The company ended the quarter with cash and investments of $88.7 million. In the first quarter, we began implementing a plan to conserve cash to weather the financial effects of the pandemic without impacting key innovation and commercial priorities. In the second quarter, this plan had a considerable positive impact on our cash burn rate. Through a combination of natural spend reductions in areas like working capital and targeted cost reduction initiatives, we believe we have set a course to end the year favorably as compared to our original net cash burn expectations of $49 million. I will now hand it back to Jack to further review our first quarter results in greater detail. Jack?
Jack Phillips: Thanks, Steve. I will begin by reviewing U.S. commercial results, followed by updates on our international business. And lastly, we’ll review our new product strategy, including an update on our COVID-19 serology testing opportunity. Turning first to our U.S. commercial results. We had one new contract for six instruments added during the quarter. This slowness was the result of hospital access being halted in March, which persisted through May, as labs shifted resources to onboarding COVID testing. In June, as hospitals reopened, we saw a meaningful increase in sales call activity across most U.S. sales territories. Our funnel of prospective customers remains sizable. However, our conversations with many hospital decision-makers indicate that delays in progressing contracts are likely to persist through the year. We anticipate that our new product strategy, including the impending approval and launch of our COVID serology platform will improve this dynamic, and we will discuss this further in detail later in the call. We brought four instruments live during the quarter and one new customer site and ended the quarter with 201 revenue-generating instruments. In March, nearly all of our go-lives were put on hold. This dynamic improved in June, and now approximately 40% of these customers are again active and progressing. Over the past several weeks, in light of the ongoing pandemic related impacts faced by health care institutions, we sought confirmation from all pending sites of their intent to proceed with the implementation process. During the course of these conversations, we came to the conclusion that there are 24 instruments across five customer sites that will not be proceeding with go-lives in the foreseeable future including one multisite IHN consisting of 13 instruments. These delays are all due to pandemic-related disruptions to either budget, staffing or both, and there is no time lines as to when the implementations will resume. Therefore, we have elected to remove these sites from our contracted backlog figures. Accordingly, we have 213 instruments in the process of being implemented at customer sites and not yet generating revenue, all of which have now reaffirmed their commitment to resume implementations in the near term. While it remains unclear whether recent closures will again slow our go-live progress, early Q3 activity has picked up, and we anticipate a number of instruments at the final stages of the process are likely to go live in the third quarter. One such hospital is Rochester General Hospital, which recently went live after improving conditions in the greater New York area permitted and efficient implementation. This site is an anchor to five hospitals and a good example of our regional influencer strategy in action. Pheno has demonstrated clear length-of-stay reductions, which translates into improved ICU bed utilization. With this in mind, we recently launched a campaign to educate health care professionals on how Pheno’s rapid ID/AST delivers proven length-of-stay outcomes resulting in these benefits. This campaign highlights one of our longest-running customers, which estimates that it saves over 800 ICU bed days annually through its implementation of Pheno. Managing ICU bed shortages is an increasingly important issue during the pandemic as more and more states reach hospital capacity limits. Lastly, we have discussed on previous calls, we still expect our ongoing reimbursement initiatives, along with the decision to include rapid AST and CLSI guidelines to conclude within the year. Moving now to our international business. Our EMEA team is returning to a state of normalcy after being the first to experience pandemic-related disruptions. However, our access to hospitals remain limited through the second quarter, resulting in no additional contract signings in two instrument go-lives in the period. It remains unclear how recent openings through the continent will improve the commercial trajectory in EMEA. Therefore, we continue to expect minimal contributions from the EMEA business in the near term. On to China. As we discussed in the past, China is a promising market with a significant sepsis challenge, a large population and a government that is focused on health care investment. We have now installed 10 Pheno Instruments and trained staff at the Beijing government test facility to initiate type testing, the first phase of our clinical trial. Following type testing, we can proceed to our live testing phase of the clinical trial, which is anticipated to begin in early 2021. Now let’s turn to our enhanced product strategy, which includes new product launches this year, in addition to continued emphasis on our Pheno 2.0 program. This new strategy represents an expansion of the innovation goals we set forth at the beginning of 2020 and is expected to increase adoption through an expanded product offering. First, I want to provide some context as to why I believe this significant change in product strategy will improve the pace of adoption. Then we’ll walk through five prongs to this new strategy. The universal need for rapid ID/AST to help patients with serious infections and to optimize antibiotic utilization is irrefutable. The market opportunity is sizable, and interest remains high. As more customers have evaluated and implemented our system, they have been providing us with ongoing feedback on their complex and heterogeneous needs for optimized rapid ID/AST solution. Flexibility is essential, and they want choices. The Pheno ID menu covers the majority of prevalent organisms of concern with both gram-positive and gram-negative blood stream infections. However, given existing customer solutions for delivering an identification result, our integrated solution can be duplicative. For example, if a customer made an expensive investment in MALDI to deliver expansive identification results cheaply, they are eager to retain these benefits while improving clinical outcomes through Rapid AST. We have found the interest in the clinical benefits of Pheno AST to be universal. And by giving customers an AST-only option, which integrates with current ID workflows, we will improve our rate of adoption. So today, we are announcing a new suite of products, four solutions, one for every customer accounting for every workflow preference and prior investment. First, we will continue to provide our fully integrated rapid ID/AST test on the Pheno system. Our current customers enjoy workflow advantages from the integrated solution and are seeing significant benefits. In the second quarter, we saw three customer studies published in peer-reviewed journals demonstrating these benefits. For example, in one of the studies, Peninsula Regional Medical Center showed that it has cut both the duration of broad spectrum therapy and hospital length of stay by two days for patients tested on the Pheno system. These are real results, life-saving answers that customers are experiencing today. We will continue to market this kit to those customers who seek a complete rapid ID/AST solution. Second, we will be launching Pheno AST, an AST-only version of the kit, which accepts, electronically or manually, an identification result from an existing system, loads the appropriate antibiotic panel and delivers a rapid AST result. This lower cost and lower price test kit enables customers with existing ID platforms to experience the benefits of Pheno system’s rapid AST results. Third, we are launching a new workflow automation instrument called PhenoPrep, which automates the front end steps required for certain ID workflows. PhenoPrep was initially borne out of our respiratory development program, and we believe will have many applications across multiple sample types. The first application to be launched in the first quarter of 2021 prepares positive blood culture samples for rapid MALDI identification. The PhenoPrep is a razor blade instrument that merges 25 manual workflow steps from positive blood cultures into one walkaway automated device to eliminate a 24-hour incubation step prior to MALDI results. This automation reduces the inherent opportunity for errors and frees lab staff to perform high-value activities. This device, when coupled with Pheno AST, will deliver a comprehensive ID/AST solution for customers with an existing MALDI system. PhenoPrep leverages a customer’s prior investment in MALDI, enabling a broader rapid ID workflow from positive blood culture. And Pheno AST has the benefits of rapid AST results. Fourth, we have also entered into an exclusive product supply and collaboration agreement with Ascend Diagnostics to commercialize a bench-top modi platform. This will allow us to create an entirely new all accelerate workflow by bringing together PhenoPrep, MALDI-TOF and Pheno AST for those customers who prefer MALDI for ID but have not purchased a solution yet. We believe these solutions will ensure maximum adoption of our current solution for the positive blood culture market, serving as our anchor in this $4 billion marketplace. From here, we will expand our offerings utility across additional sample types in a broadened menu. The fifth prong of this product strategy is Pheno 2.0. This lower cost and higher throughput system will considerably expand our market through the addition of higher volume, lower acuity samples like isolates and urine. This program is advancing according to plan, and we continue to see promising early results across multiple sample types. In an effort to focus on the development and launch of this new product strategy, we have decided to pause our respiratory development program. Recent research suggests that pulmonologists during the pandemic are collecting few scope respiratory samples due to the risk of aspirating virus to other patients and physicians. Accordingly, in the current environment, it would have been very difficult to power our clinical trial and obtain early commercial adoption. Lastly, an update on our collaboration to commercialize the MS-FAST fully automated chemiluminescence immunoassay analyzer and SARS-CoV-2 test for the detection of IgG and IgM. We have submitted final responses to the FDA’s questions on our emergency use authorization for this device and COVID related assays. Our review has been complex and lengthy. While all of the current approved serology tests are for new COVID tests on existing instruments, we have had to obtain EUA approvals for both COVID tests and the MS-FAST instrument. We expect to hear from the FDA in the very near future on their decision. We continue to be excited about this collaboration agreement and are eager to play a direct role in fighting this pandemic. We are also evaluating additional opportunities like this one to rapidly extend our portfolio of synergistic products. In closing, the pandemic has exasperated the problem statement that our mission calls us to solve, to deliver life-saving answers for patients with serious infections. Recent studies highlight not only the secondary infections are on the rise in COVID patients, but overprescription of antibiotics are likely to lead to an enduring new wave of antimicrobial resistance and subsequent infection risk for all patients. The current business disruption is profound, but we are pleased with our progress to reduce spend to help us weather the disruption while simultaneously accelerating our pipeline of new products. Our internal R&D and business development engines are humming and are providing new ways for our sales teams to engage prospective customers. Six months into the job, I remain as bullish on our opportunity as ever, and my mission for our future is crystallizing. As the industry leader in rapid AST, we play a critical role in fighting serious infections for patients around the globe, grounded in an extraordinary sense of responsibility to our customers and to our patients. We are driven to change the way infectious disease is treated. And as demonstrated by 130 customer studies and counting, that’s exactly what we’re doing today. The deployment of our transformative product strategy enables us to more efficiently deliver rapid AST to all market segments representing a major step forward in our mission to redefine the standard of care in microbiology. I would now be happy to answer any questions from our analysts. Should others on the call have questions not addressed, we would welcome you to send these questions or request for a follow-up meeting to investors@axdx.com. Thank you.
Operator: [Operator Instructions] First question comes from Steven Mah of Piper Sandler. Please go ahead.
Steven Mah: Thanks, operator. And thanks for taking the question, guys. Can you give us a sense for the consumables pull-through per instrument? It sounds like it seems to be coming back, but I just want to get kind of a sense of what your kind of go-forward consumable pull-through assumptions are.
Jack Phillips: Yes, sure, Steven. And thanks for the question. Jack Phillips here, and I’ll let Steve follow up on this as well. But no, we’re very pleased with the consumable pull-through in the U.S. that we’re seeing to date. I mean, in the U.S., our consumable revenue year-on-year growth is over 60% compared to last year. The revenue per instrument is holding quite strong. And so our existing base of Pheno customers, while we saw a dip in like April and May, a bit of a dip, June was actually one of the best months – I think it was the best month we had on record relative to volume. We also confirm, through actually checking in with each one of those customers, that this was not any kind of stocking effect that actually the volumes for those customers were actually on par with the ordering patterns that we saw. So the one thing we’re very, very thankful for, again, is our existing customer base holds strong. We continue to service those customers, and they continue to order at the same levels that we’ve been speaking at, which is an annualized revenue of roughly about $45,000 per Pheno. Steve, did you have anything to add?
Steve Reichling: No, you covered it all, Jack. I think that’s good.
Steven Mah: Okay. Great. And I know last quarter, you guys had a reallocation strategy in EMEA to kind of redeploy instruments that had low controllable pull-through to high pull-through sites. Could you comment on that?
Steve Reichling: Yes. We – certainly, the emphasis in EMEA was to focus on increasing the minimal annuity in that geography. A lot of that is rooted in telling the clinical story and doing some of the fundamental things that we’re doing in the U.S. And we’ve seen that work to some effect in places like Italy and Spain, where resistance rates are quite high. We did have a handful of returns and redistributions in Q1 and then a few more in Q2.
Steven Mah: Okay. Great. And then on the 24 instruments that you guys pulled out of the backlog, will these eventually go back into the backlog of staffing and budgets return to normal? Or should we think of them as gone?
Steve Reichling: Yes. I mean, again, thanks for the question. So the answer is, yes. I mean, these accounts that we mentioned, there’s about five customers, about 20-plus instruments. And again, we – in discussing with these customers, for various reasons, again, they have definitively said they’re not moving forward for now. But in all cases, in our discussions, they were all open-minded to revisiting implementation processes and eventual go live with Pheno. These are strictly – these were strictly related to challenges with COVID in these specific institutions. And those challenges run the gamut, from multiple furloughs to laboratories just being very, very much overworked and not having any free time to implement anything, to executive leadership saying, "Hey, let’s focus only on COVID and nothing else at this time."
Steven Mah: Okay. That’s helpful color. And yes, if you can just indulge me with one last question. On the BioCheck system, I think you had mentioned last time that you guys were pursuing the 510(k). Is that – is FDA allowing you just to pursue EUA? Or do you sub to get a 510(k)?
Jack Phillips: Yes. No. We’re pursuing an EUA, and that’s all we need to pursue currently right now. And I would say that’s proceeding nicely. We had like a final question over the past couple of days from the FDA. We’ve responded, provided the data. It was very simple. Very simple study that we had to do. We’ve submitted that study over the past 24 hours, and the FDA has acknowledged that. So we’re very confident in EUA approval moving forward, given the dialogue that we’ve had. And then F 510(k) will come as the FDA changes, as we evolve serology testing as an industry, and that will come eventually. We do have our sites in the future on an FDA, just a 510(k) approval, by the way, just to be clear.
Steven Mah: Yes, yes. Okay. No, that’s fantastic that you don’t need to do that. Okay. Great. And I appreciate it. Thanks for taking all the questions.
Operator: The next question comes from Brian Weinstein of William Blair. Please go ahead.
Andrew Brackmann: This is Andrew on today. Thanks for taking the questions and for all of the color here on the new enhancements. Maybe to start on that. Jack, you talked about each of the four different customer types that these enhancements are targeting, but could you give us some color on how you’re viewing the different sort of market sizes across those four different customer types?
Jack Phillips: Yes, sure. So again, first, I’ll start with how we came to the decision of the strategy refresh that we laid out, which we couldn’t be more excited about. Our customer feedback has been fantastic, but we actually started by listening to our customers. We’ve been taking a tremendous amount of feedback from our customers, both from our sales reps in the field to actually KOL. We’ve had very many KOLs, seminars to where we’ve put together and got – before COVID and got feedback. And this is something we’ve been working on for since I’ve been here in Q4. And so to your question, the segments, really, we are – what we have with this strategy is a strategy now that, frankly, addresses every opportunity and every customer with rapid AST. And the need for rapid AST is universal. The challenge, and if you will, the pushback has been, where we do have challenges, is where customers prefer a different ID, a different identification. Typically, those customers, Andrew, are customers that are in a larger, higher volume segment, an academic center. And they’ve adopted like a MALDI-type platform where they’re running a large, large menu ID menu upwards of over 1,000 identification organisms. And then they have high volume. And with that, they’re residents to switch to a Pheno ID AST. And so for that segment is where the Pheno AST only really fits the best. And then the community centers, the stand-alone mid-tier hospitals, Pheno Rapid ID AST has been consistently proven out as a really strong tool across the board for both ID and AST. And then the last area I just mentioned is then the PhenoPrep with our own MALDI that, again, would be in that segment where customers are seeking a MALDI solution. And they want an integrated solution, and this is what PhenoPrep with our new partnership with Ascend and then Pheno AST you’ll provide.
Andrew Brackmann: Got it. Okay. That’s helpful. So I guess if I’m hearing you right, this sort of knocks down all those barriers on adoptions across different institutions. So I guess, maybe it might be a bit early for this question, but anything you can provide with respect to how this might change your expectations for the revenue ramp here?
Jack Phillips: Yes. So it is early. And obviously, we’ve paused guidance, Andrew, due to COVID. But I will say, again, back to your first point about the barriers, the biggest barrier that we’ve run into to date since launching Pheno has been the customers’ feedback on having choices around ID with – and so we’ve addressed that, again, universally. And this is the biggest barrier that we can take down at this point, and that’s why we’re so excited about the strategy. As far as the opportunity relative to, how does this change our revenue trajectory? More to come on that. Again, the sales team is already out marketing this and selling this. Again, as I’ve mentioned, we’ve got limited access right now, but the access that we do have, the feedback has been very, very positive about what – where we’re going in the direction of the company.
Andrew Brackmann: Got it. Okay. And then maybe one more, if I could, on COVID. Obviously, there’s been sort of a lot of news out there discussing sort of the secondary infections for COVID patients. How are you thinking about? Or have you seen any evidence out there which supports Pheno’s ability to sort of helping identifying those secondary infections?
Jack Phillips: Yes. Thanks, Andrew. So yes, so again, the activity that we’ve had with go-lives since COVID and the activity – we have roughly about 60% of our go-live backlog now that’s actively getting customer – getting live with Pheno. The feedback across the board is they see a value in a couple of things with Pheno in a COVID environment. And the first thing I would mention is around bed utilization and optimizing those valuable ICU beds. And Pheno, obviously, has been proven out to do that. We have many, many publications that speak to that. And I would say that’s the start. And then as far as secondary infections, clearly, this is the biggest challenge with regard to mortality for patients with COVID are the secondary infections that they acquire. And many, many of those infections are viral, but some of them actually do are bloodstream-type infections, and that’s where Pheno does come into play. More to come on that as well, and we have a lot more to learn there as we all learn more about management of COVID moving forward.
Andrew Brackmann: Okay. Thanks, guys.
Operator: The next question comes from Alex Nowak of Craig-Hallum Capital. Please go ahead.
Alex Nowak: Great, good afternoon, everyone. Just a couple of follow-up questions to the new products here. A lot of good stuff was mentioned on the call, but could you expand the economics for the Pheno AST test, just how long that takes to run? And can that be connected to a BioFire or someone molecular system? Or is it just MALDI?
Jack Phillips: Yes. Great. Thanks, Alex. Thanks for the question. So a couple of things. First of all, the term – you mentioned turnaround time. So Pheno AST, the turnaround time will be approximately about 8 hours or so, which, again, the standard of care, as a reminder, is about – can be upwards of 3 days. So that’s – obviously, that is the game changer. And then your second question is, as you – what systems will this interface with? And the answer is it’s completely flexible. So currently, it may be a manual entry. Eventually, we will be interfacing electronically through an HL7 middleware type device. So the answer is yes. Is if BioFire, GenMark, MALDI, any type of ID will be able to be input into the Pheno. From there, that’s when the Pheno will take over with that ID and run the rapid AST test and then produce results in, again, approximately 8 hours.
Alex Nowak: Okay. Got it. And just to confirm, it doesn’t require a subculture, it just requires the blood culture bottle and then just the cost of the test?
Jack Phillips: Yes. Correct. So the answer is, yes, there’s no change in prep or anything like that. And then as far as the cost, it will be less than our current offering of the – our current ID AST offering.
Alex Nowak: Okay. Got it. And then can you just expand on PhenoPrep how that system works what the – maybe just for all in terms of purposes help us out the workflow from a sample coming into the labs again the AST result when using Pheno?
Jack Phillips: Yes. So PhenoPrep was developed due to our respiratory program. And it’s a sample prep device that preps the sample, and, in this case, we developed it originally for respiratory. But as we’ve known for actually quite a while, and we just haven’t deployed it, as we’ve known for quite a while, this is extremely effective as it relates to blood culture as well. And then specifically for use in conjunction with a MALDI platform, where ID – where Modi is used for ID. And so, today, that workflow and why many customers across the U.S. have MALDI, but many do not use MALDI as a rapid ID because the workflow preparation that’s required for that sample is long. It’s hands – it’s a lot of hands on time, and it’s tech-heavy. And so what PhenoPrep does is automates that. It’s about a 5x improvement in workflow. And we – from a solution standpoint, it is a workflow solution that we’re – again, it will be another clear revenue stream for us as well. It will be a modest sale of an instrument. The instrument will not cost a lot of capital, and then we’ll have a modest per-test reagent pull-through as well. Again, a lot of this happened because of feedback from customers, and the customers that we’ve talked to about this universally love the idea. So we’re real excited about getting this product launched to market.
Alex Nowak: No, that’s great. And then just one more question on the new products, and then just another question on something separate, but when will the new products be fully available, not just early access? And then the – do the new products at all change the go-live timing within labs that have been sitting out on Pheno? Just does this encourage them to bring up a system quicker than maybe it was before?
Jack Phillips: Yes. So timing on launch, we expect to launch the – launch PhenoPrep in Q1 of 2021. We have, oh, gosh, we’ve built 20 systems now already. And so we’re really off and running. And the key point there, too, is, as I mentioned, this is not something we just started developing last week. This is something we’ve been it’s been in development for, like, quite some time as long as our respiratory program has. So we’re getting very close and ready to go there. And then for AST only, Pheno AST only, the same. We’re actually marketing that product now, talking to customers now, but the actual kit we expect will be available in Q1 as well. And then your last point, and I just slipped your last question was on...
Alex Nowak: Any impact on go-lives?
Jack Phillips: Oh, yes. Oh, thank you. And the impact on go-lives, so no – the thing I would say about go-lives, this doesn’t specifically have an impact on go-lives. But I do want to just take a chance, I get asked a lot about our go-live program. It is going phenomenally well, again, granted many sites are stalled right now due to COVID. But the sites that are active, our program that I’ve implemented started on back in Q4 and really kicked off in Q1 is going extremely well. Examples of tufts in Boston just went live over the past couple of weeks kind of contract in January. And so even with COVID and everything that’s happened, we’re still live today. So they just went live last week. In Rochester General, the same way. We went live in about 5 months there. So I’m really pleased with the results that we’re seeing out of our new go-live process that we’ve implemented.
Alex Nowak: And just on that point, when you went back to the hospitals and made sure they were committed to bringing Pheno live, the hospitals that said, yes, I want to keep a Pheno, and we’re going to bring it live, did they end up committing to a date or a drop to date with you?
Jack Phillips: Yes. So some of them have. And those are the ones that are active, and those are the ones that we’re working. So like you said – I said before it was about 40%, but really, since then, it’s really now grown to about 60% of our base is active. Meaning we’re doing something. We’re working on the process. Ones that have said, hey, we are still going to go live with Pheno, but just not now. No, mostly, those sites did not commit a time line only because they just don’t know. When is COVID for them? When is the workload for them going to lessen to where they can take on new projects? So we just remain in contact with those sites.
Alex Nowak: Okay. Got it. Perfect. We will appreciate your update. Thank you.
Operator: This concludes both the question-and-answer session and the Accelerate Diagnostics earnings call. Thank you for attending today’s presentation. You may now disconnect.